Operator: Good morning. My name is Latif, and I will be your conference operator today. At this time, I would like to welcome everyone to CT REIT's Q4 2024 Earnings Results Conference Call [Operator Instructions]. The speakers on the call today are Kevin Salsberg, President and Chief Executive Officer of CT REIT, Jodi Shpigel, Senior Vice President, Real Estate, and Lesley Gibson, Chief Financial Officer. Today's discussions may include forward-looking statements. Such statements are based on management’s assumptions and beliefs. These forward-looking statements are subject to uncertainties and other factors that could cause actual results to differ materially from such statements. Please see CT REIT's public filings for a discussion of these risk factors, which are included in their 2024 Management's Discussion and Analysis and 2024 Annual Information Form, which can be found on CT REIT's website and on SEDAR+. I will now turn the call over to Kevin Salsberg, President and Chief Executive Officer of CT REIT. Kevin?
Kevin Salsberg: Thank you, Latif. Good morning, everyone, and welcome to CT REIT's fourth quarter investor conference call. In a world of heightened volatility and uncertainty, CT REIT continues to be a beacon of stability and resilience. Our relationship with Canadian Tire Corporation, our near fully occupied portfolio of properties with its long weighted average lease term and embedded rent growth, and our strong balance sheet, form the bedrock upon which our durability, reliability, and growth are based. This solid foundation has, once again, this quarter allowed us to deliver growth in our key operating metrics and source new strategic investments, all while prudently managing risk and ensuring we retain flexibility to capitalize on new opportunities in the future. In Q4, we achieved a 3.6% increase in net operating income, 1.5% growth in same-store NOI, 2% growth in same-property NOI, and 1.7% growth in AFFO per unit. For the full year, we achieved a 4.3% full year increase in net operating income, 1.6% growth in same-store NOI, 2.4% growth in same-property NOI, and an impressive 3% growth in AFFO per unit. This growth contributed to our ability to yet again increase our distributions last year, our 11th increase since our initial public offering in 2013. These increases represent over 42% in the amount paid to our unitholders since that time. In 2024, despite a challenging investment backdrop, we were pleased to be able to source and deliver just shy of 500,000 square feet of new gross leaseable area through our development and acquisition program at a total investment of just over $156 million. With respect to our balance sheet, we continue to maintain our leverage and coverage ratios at the more conservative end of our peer group. This strategy has allowed us to generate increasing free cash flow over time, as well as currently provides us with a great deal of flexibility to fund current and potential future investment opportunities as they arise. Through the course of 2024, we also repurchased over 875,000 CT REIT units through our normal course issuer bid program at a weighted average purchase price of $13.50 per unit for a total cost of just under $12 million. As I reflect on the past year and the unpredictable nature of the world around us today, I am proud of our achievements and hopeful and optimistic about what CT REIT can accomplish going forward. We have a robust development pipeline that is anticipated to add over 600,000 square feet of gross leaseable area to the portfolio in 2025 alone. We have ample liquidity and a balance sheet that will allow us to execute not only on this development program, but to also fund additional future investment opportunities as they arise, and we have a proven strategy that fits these times and allows us to continue to leverage our relationship with Canadian Tire, our largest tenant and majority unitholder in order to surface value for all of our units. I'll now turn it over to Jodi and Lesley to provide some additional details on the quarter, our results, and our investment leasing and development activities. Jodi?
Jodi Shpigel: Thanks, Kevin, and good morning, everyone. As highlighted in our press release yesterday, we are pleased to announce three new investments this quarter. These new investments relate to the development of a new 186,000 square foot Canadian Tire store in Kelowna, British Columbia, the expansion of a Canadian Tire store located in Winnipeg, Manitoba, as well as the redevelopment of a vacant property in Lloydminster, Alberta. These new investments total $59 million are expected to earn a going in yield of 8.11%, and will add approximately 284,000 square feet of incremental GLA to our pipeline of projects and our high quality portfolio. The fourth quarter was a busy period for CT REIT as we completed several previously disclosed projects, including the vend-in of a Canadian Tire store in Winnipeg, Manitoba, and the vend-in of a property containing Canadian Tire, Marks, and Dollarama stores in Mont-Tremblant, Quebec. Additionally, CT REIT completed two Canadian Tire store expansions in Kirkland, Quebec, and Martensville, Saskatchewan. These investments totaled $103 million and added 322,000 square feet of incremental GLA to the portfolio. In the fourth quarter, CT REIT also sold a portion of a property in Orillia, Ontario for $4 million. Our development pipeline remains strong, with 19 projects at various stages of development, with approximately half of these expected to be completed this year, and the remainder expected to be completed in 2026 and beyond. These developments represent a total committed investment of approximately $328 million on completion, $107 million of which has already been spent, and $156 million of which we anticipate will be spent in the next 12 months. Once built, these projects will add a total incremental GLA of approximately 881,000 square feet to the portfolio, approximately 90% of which has been pre-leased at quarter end. At the end of the quarter, CT REIT maintained its 99.4% occupancy rate, representing a portfolio that is substantially fully leased, a true indication of the quality and strength of our properties. For the full year, CT REIT completed four Canadian Tire store lease extensions, as well as a lease extension with Canadian Tire for its head office at Canada Square. For the full year, we also extended over 400,000 square feet of non-Canadian Tire store or head office leases at a blended 10.3% spread over expiring rents. As at the end of Q4, the weighted average lease term for our portfolio was 7.7 years, which remains one of the longest in the sector. With that, I will turn it over to Lesley to discuss our financial results. Lesley?
Lesley Gibson: Thanks, Jodi, and good morning, everyone. As Kevin highlighted, we were pleased with the results delivered by the REIT again this quarter. Same-store NOI grew by 1.5% or $1.6 million. Drivers of the same-store NOI increase were contractual rent escalations $1.4 million, primarily being the 1.5% average annual rent escalations included in the Canadian Tire leases, as well as an increase in property operating expense recoveries of $0.4 million in the quarter. Same-property NOI grew by 2.0% or $2.3 million compared to the prior year. This increase was primarily due to the increase in same-store NOI noted, as well as an increase of $0.6 million from the Intensifications completed in 2023 and 224. Overall, the fourth quarter NOI grew by a healthy 3.6% or $4 million, driven by the increase in same-property NOI, as well as the acquisition and completion of development projects in 2023 and 2024. In the fourth quarter, excluding fair value adjustments, G&A expense as a percentage of property revenue was 2.9%, which was higher than the same period in the prior year of 2.6%. This increase was due to both an increase in the compensation expense, as well as the timing of when expenses were incurred. The fair value adjustment of $54.8 million in the quarter was driven by changes to the underlying cash flow assumptions and investment metrics for certain retail properties based on recent market activity. For the full year, the fair value adjustment was an increase of $119 million, primarily driven by contractual rent increases, leasing activities in the portfolio, as well as changes to the underlying cash flow assumptions and investment metrics. Over the last year, we've seen a little overall change in the portfolio investment metrics. In Q4, the portfolio terminal capitalization discount rates decreased by one basis point. In the quarter, diluted FFO per unit was up 1.2% to $0.33.40 cents compared to $0.33.00 in the fourth quarter of 2023. This growth can be primarily attributed to the acquisition, intensification and developments completed in 2023 and 2024, partially offset by the higher interest costs related to the debentures issued in Q4 of 2023 and the Q2 interest rate reset for the series four class C units. For the full year, diluted FFO per unit was up 1.9% to $1.33. Growth at AFFO per unit on a diluted basis was strong for the same reasons, and with the inclusion of the cash increases in base rents, and came in at $0.30.80 cents, up 1.7% compared to Q4 of 2023. On a full year basis, diluted AFFO per unit was up 3.0% to $1.23.9 per unit. Cash distributions paid in the quarter increased again by 3% compared to the same period in the previous year due to the 11th distribution increase on as many years that Kevin referred to earlier. AFFO payout ratio for Q4 was 75.0%, which is in line with the same period of last year, 74.3%. During the year, CT REIT bought back over 875,000 units at an average price of $13.50 per unit. In the fourth quarter, we renewed the NCIB facility for another year, allowing us to opportunistically purchase up to 1.875 million units through November of 2025. Now, turning to the balance sheet, our interest coverage ratio was 3.52x for the current quarter compared to 3.60x in the comparable quarter of 2023, with the decrease mainly driven by the increase in interest expense related to the new financings mentioned earlier. In 2025, we anticipate refinancing certain maturing debts at higher interest rates, which will lead to an increased net interest expense compared to the previous year. Specifically, the $452 million of debt maturing in Q2 this year, will be subject to these higher rates, comprised of $252 million of Class C LP units at the end of May, and $200 million of public unsecured debentures that are maturing in early June. The indebtedness of EBIT fair value ratio was 6.81x for the quarter, stable compared to last year's ratio of 6.83x. Our indebtedness ratio was 41.1% for the quarter, which is comparable to the indebtedness ratio from last year. Our indebtedness ratio continues to be within our target range. Lastly, with respect to liquidity, we ended Q4 with $3 million of cash on hand $295 million remains available through our committed credit facility. Approximately $200 million is also available under our uncommitted facility with Canadian Tire Corporation. And with that, I'll turn the call back over to the operator for any questions.
Operator: [Operator Instructions] Our first question comes from the line of Lorne Kalmar from Desjardins Capital Markets. Your question please, Lorne.
Lorne Kalmar: Thank you very much. Good morning everyone, and congrats on another solid quarter. I just wanted to focus in on the new projects announced this quarter. The going in yield was quite a bit higher than it has been, I guess as it relates to the projects announced throughout the earlier parts of 2024. I was just wondering, is this just driven by the composition of these projects and perhaps the land lease, or is there an opportunity for the REIT to take advantage of higher yielding opportunities going forward?
Kevin Salsberg: Good morning, Lorne. I think your supposition is correct. I mean, the land lease is driving a higher return based on the type of project it is. The redevelopment is also a little bit higher yielding than our average. So, it's the combination of those two weighing the store expansion, which would be more in line with our typical project yields that's driving the plus 8% return.
Lorne Kalmar: Okay. So, I guess going forward, this is the exception, not the norm. Probably you'd be back in that six to mid six range for projects in 2025?
Kevin Salsberg: Assuming the composition of those projects is more in line with our conventional store expansion, new store development on freehold lands, yes, I think that's correct.
Lorne Kalmar: Okay. Awesome. Thank you so much.
Operator: Thank you. Our next question comes from the line of Giuliano Thornhill of National Bank Financial. Your line is open, Giuliano.
Giuliano Thornhill: Hey, guys, good morning. Just a question about the acquisitions. Like why do you guys like those markets and kind of why did you decide to do it?
Kevin Salsberg: Well, I mean, the only acquisition-type project in the three we announced is Kelowna. Obviously, Kelowna's a really strong market for Canadian Tire. They're investing by constructing a new store alongside the REIT. great demographics, seasonal obviously in terms of what it has to offer from a tourist perspective. Also, a lot of people have been retiring and spending more time in markets like Kelowna. BC has been strong from a GPP growth perspective. So, we're very comfortable there. Canadian Tire has a track record of performing well in all markets large and small. So, typically, as long as we can work alongside them, secure a long-term lease, we have great comfort investing in all parts of the country, quite frankly.
Giuliano Thornhill: And then just the next one was just on the GLA under construction creeped up this quarter. What factors do you think need to happen to kind of reach that 2021 area where you guys had $1.3 million or so in your development pipeline? Is it just a function of the lower rates? Is it a function of the related party? I was just curious about how we could maybe end up getting back to that level.
Kevin Salsberg: Yes, I think it's probably more the related party. I mean, our development pipeline is probably 80% of Canadian Tire projects. The degree to which they're investing in their reason and the capital they're outlaying, it’s bricks and mortar projects certainly influences that. I think in 2021, we also had a large industrial project in our pipeline, which would've skewed the total. So, if you sort of normalize for the smaller retail footprints relative to industrial projects, we're actually kind of close to that larger total composition of projects. But certainly, the pace, given consumer spending, given the uncertainty in economy on new capital projects, even though we've had a bit of a robust go the last two quarters, is slowing. So, the expectation on new development projects for the balance here, I would say is probably less than what we've announced this quarter and last. But we’re very happy with where the development pipeline is today, and we're going to try to find opportunities to keep it at the current level.
Giuliano Thornhill: Thanks.
Operator: Thank you. Our next question comes from the line of Michael Markidis of BMO Capital Markets. Please go ahead, Michael.
Michael Markidis: Thank you. Good morning, everybody. Kevin, could you maybe just give us a little bit more color on the redevelopment in Lloydminster, what type of property that is and what it entails?
Kevin Salsberg: Sure. So, I think it's an IPO property that was tenanted by Canadian Tire a couple of years ago. Like Kelowna, it's a productive market for Canadian Tire. They chose to relocate the store into a larger box, which CT REIT owns. We funded that development project. So, in the context of them relocating, the property became vacant. We are now in the later stages of finalizing leases. We have conditional lease in place for an anchor tenant. We'll be demising the box in for three tenancies and hopefully delivering that in the later part of this year.
Michael Markidis: Okay, great. That's helpful. And then just, so was that property, was there any income residual even after the relocation, or was it dark from an NOI perspective?
Kevin Salsberg: There's a gas bar on site that remained operational that continued to pay rent, but besides that, no.
Michael Markidis: Okay. So, the 8.1 is then just the incremental over the gas bar rent, or does the gas bar stay? How does that work? So, I guess the 8.1 - sorry, go ahead.
Kevin Salsberg: Yes, it's just the incremental revenue or NOI over the cost.
Michael Markidis: Got it. Okay. Just with respect to the unsecured markets are really like, in my opinion anyways, very favorable. You guys are sub 7x debt to EBITDA, and obviously there's a pace with Canadian Tire that's progressing. I guess, how do you guys think about your cost of debt? And obviously you look at it on a blended cost of equity, but how do you look at maybe taking leverage up and with respect to how you're seeing any third-party acquisition opportunities out there today?
Lesley Gibson: Mike, it's Lesley. No, I think as, as Kevin mentioned, our balance sheet does have the capacity to increase our debt levels. We're at 41.1% levered right now. Could that be up a few, a couple of points if that's the route we chose and chose to continue to find things through the unsecured market? I agree with you, they're really healthier right now. Rates in the last week, sort of some, especially the underlying GOCs have come down. So, that definitely is going to sort of hopefully help some of those projects perhaps kickstart. But yes, we do have lots of flexibility and I think for the right acquisition or the right development or the right opportunity for growth, that would be something we would consider too.
Operator: Thank you. Next question comes from the line of Sam Damiani of TD Securities. Your line is open sim.
Sam Damiani: Thank you. Can you hear me okay?
Kevin Salsberg: Yes, good morning, Sam.
Sam Damiani: Oh, okay. Thank you. New phone. Good morning. And just wanted to say congratulations on these two pretty interesting projects in Kelowna and Lloydminster. Clearly, Canadian Tire sees very good very good business there. And with the relocated store and expanded store, offers the REIT the opportunity to backfill these former locations, which I'm just wondering, I guess you've kind of talked about Lloydminster, but I was just thinking Kelowna. How do you see that site being repurposed once Canadian Tire does relocate into the new store?
Kevin Salsberg: Yes, I mean, we’re working on that right now, Sam. I mean, the nice thing about Canadian Tire stores is typically these boxes are easily demisable. They're more rectangular than square and splitting them up provides opportunities for anchors or mid box tenants to come in and find new space. We've talked a lot about the supply-demand imbalance in terms of no new or very little new retail GLA being built. So, we're in discussions with many of those types of retailers. Lloydminster was great in terms of finding the right tenants and great pro forma tumble for us. You’ll recall we had a similar situation in Chilliwack where last year midyear. We actually sold that box because we got a very attractive offer to purchase. So, I think our first and best option is always to redevelop, but in certain markets there's a shortage of commercial property or commercial property that can be converted. And so, we will always assess our various options and determine the best path forward.
Sam Damiani: Okay, great. Looking forward to hearing how that goes in Kelowna. And just on the pipeline, as was discussed, it's gotten quite big and there's a lot of delivery scheduled for later this year, but just for modeling purposes, of that 881,000 square feet, how much of that is currently producing NOI?
Kevin Salsberg: Our Winkler redevelopment would be the largest single project where there is some NOI being generated. Beyond that, I think everything is incremental. And in terms of 2025, the expectation, inclusive of Winkler, which is about 140,000 square feet, is to deliver 600,000 square feet. So, that'll give you a rough order of magnitude.
Sam Damiani: Yes, that's helpful. Thank you. Two more quick questions for me. Firstly, just on the renewal leasing spreads, Jodi, you mentioned, I apologize, I didn't quite catch exactly what you said. If I heard, it was 400,000 square feet renewed in the quarter, had a 10% spread, but I didn't get the mix between Canadian Tire versus non-Canadian Tire and sort of office versus retail.
Jodi Shpigel: No problem. Good morning, Sam. So, our third-party renewals for the year were around 400,000 square feet at the spread of 10.3%. And then beyond that, related party renewals would've a little north of 300,000 square feet for the year, and typical increases that you would expect.
Sam Damiani: Okay. Is it fair to say that the Canadian Tire renewals in Q4 were 20-year renewals? Did I see that correctly?
Jodi Shpigel: Typically, our renewals of Canadian Tire are five years.
Sam Damiani: Okay. Yes, it just looked like the expiry schedule tweaked a bit in 2024. Okay. And so, when we look at Canada Square, I know it doesn't get a lot of discussion with the LRT in limbo or whatever. I'd love to hear that it's actually going to open this year. If you have any intelligence on that, that would be greatly appreciated as a resident nearby. But just thinking about phase one of that …
Kevin Salsberg: Sorry, Sam, you there? You cut out.
Operator: Oh, it looks like we'll go to the next question. Our next question comes from Sumayya Syed of CIBC World Markets. Your line is open, Sumayya.
Sumayya Syed: Yes. Thanks. Good morning. Just following up on the leasing activity on the third-party GLAs, just wondering, how are the spreads trending on deals done let's say post Q4 to date? And is that 10% spread range still holding on?
Jodi Shpigel: Yes, I would say it is. I mean, we continue to be in a supply-constrained market, not a lot of new retail coming online. And so, throughout the quarters of 2024, we were seeing that north of double-digit spreads. And so, I would expect that to continue until such time as new retail development starts to take place.
Sumayya Syed: Okay. And then just had a question on the fair value gains. Looks like about half the gains for the year came in Q4, and if you could just walk through the drivers there, any sort of notable market activity?
Lesley Gibson: Hello, it’s Lesley. There were a number of like the develop - some of the development completions that come towards the end of the year. So, that would've sort of skewed some of it. And I had mentioned, there was - we did have a number of (external) appraisals and we sort of had put that through portfolio. Also the sort of very small, but yet one basis point decrease to the metrics are also pushing sort of the valuations through in that Q4, but probably the largest driver really was the rest of the sort of development completions that came online towards the end of the year.
Sumayya Syed: Okay, got it. And then just lastly on the capital allocation side, how active do you expect to be on the NCIB, noting obviously the stock has moved up quite a bit from where you were buying back last year?
Kevin Salsberg: Yes, I think we were quiet on the NCIB front in Q4. And when we look at where we want to play, I think the average price at which we were buying back through the course of 2024 being $13.50 would be kind of a good guiding principle in terms of where our heads are at. I mean, we've always - we've talked about in the past the liquidity factor and trying not to reduce the (indiscernible) overtly, but trying to support the units and also send the signal to market. So, we'll just keep watching. As long as it stays up in these current levels, I'm not expecting us to be allocating capital towards that, but there's so much going on right now and so much volatility that we're living day to day, not even week to week. So, we'll see where it goes.
Sumayya Syed: Got it. Thank you. I'll turn it back.
Operator: Thank you. Next question comes from the land line of Himanshu Gupta of Scotiabank. Your question please, Himanshu.
Himanshu Gupta: Thank you and good morning. So, just a broad question. Retail narrative has been good, at least getting better. Market rents are improving. I mean, obviously you're getting 10% kind of plus leasing spreads, maybe more in some cases. How's that translating into cap rate compression at all in your product? I mean, obviously for this year it was flat discount rate, terminal cap rate as well. How do you see values evolving in the near-term?
Kevin Salsberg: It's a great question. I think it remains to be seen, quite honestly. I mean, best in volumes in Q4 and 2024 overall were quite low. Retail is certainly in demand. We're seeing that from the cap rate surveys and even our experience in the market. I think the economy and rates and tariffs and all these macro headlines are certainly influencing people's perception of the degree to which they want to allocate capital into risk assets for 2025. So, I think it's an evolving story, Himanshu. I mean, it's hard to predict. I think the fundamentals of retail are still very strong. Anecdotally, I'm hearing of more institutional players who are looking at an enclosed retail as an asset class they want to get into to a greater extent. So, I think that should bode well generally for our assets and our fair value, but things are changing so quickly, it's really hard to pin down.
Himanshu Gupta: That's fair enough. And then obviously adding the tariffs to the equation, are you having discussions with obviously CTC? Like, how does that impact the expansion plans, so the development plants there? And I see - I think a couple of properties you removed, I think in London, Ontario, and Orleans, Ontario. I think they were previously disclosed as intensification. They were removed as well. So, just wondering, is that also a reason for slow down in development or comment between?
Kevin Salsberg: The removal of those two projects had nothing to do with tariffs. I think that was changing priorities and capital allocation decision-making from Canadian Tire's perspective. Yes, we are in discussions with Canadian Tire about the changing landscape. But I think like CT REIT, we're all just watching day to day in terms of how things evolve and are cautiously optimistic about the strength of the business. And certainly, we're in a better spot today than we were a year ago. But at the same time managing the business to plan for the unknown. So, I think pre-tariff announcements, capital deployment into new retail projects was already starting to slow a little. That was more based on where the economy was at, consumer spending and performance. The degree to which that changes over time I think remains to be seen at this point.
Himanshu Gupta: Fair enough. Thank you. Totally understand, a lot of unknowns here. So, thank you for the color.
Operator: Thank you. Our next question comes from the line of Pammi Bir of RBC Capital Markets. Your line is open, Pam.
Pammi Bir: Thanks. Good morning. Can you maybe talk a little bit about just the Canadian Tire lease extension at the head office at Canada Square, just any color on the square footage, the term, any changes in the rent, et cetera?
Jodi Shpigel: Good morning, Pammi. It's Jodi. So, on Canada Square, it was a short-term lease renewal for Canadian Tire. As you know, we have the - this is a 50% property with us, but at 100% it's a little over 200,000 square feet that got renewed. And really the short-term nature of it just gives them time to finalize their workplace strategy and set themselves up for the future.
Pammi Bir: Okay. So, no there's no change in the rent?
Kevin Salsberg: We're not going to comment on the rent, Pammi, but just what I'll say is we continue to work with Oxford and Canadian Tire on the future of Canada Square and Canadian Tire's involvement in the complex. And this renewal, sort of, as Jodi mentioned, sets us up to be in a place to hopefully finalize something this year for the longer term. And if and when that should come to pass, we'll obviously provide some additional color and details on where that lands.
Pammi Bir: Okay. Just last one for me, just on the series B, I think that's coming due later, and as well, the class Cs, the Class C units. Just thoughts on, maybe more so on the Class Bs, what you're thinking in terms of refinancing from a term standpoint and where you're seeing rates at this stage.
Lesley Gibson: Pammi, yes, for the public debentures coming due in June, we’re looking at a number of things. Obviously, the debt markets are very healthy right now. We're probably looking more towards sort of the five-year versus some of the longer seven and 10 years that we're doing, just given maybe the relative spread between those tenors. Right now a five-year, like five years would be just over 4% for us. So, we'll see where things are, but we’re definitely taking a look at what those are. All the different options are on the table in terms of how we're exactly going to refi those. And we'll have probably more plans too in the May call.
Pammi Bir: Thanks very much, Lesley. I'll turn back.
Operator: Thank you. Our next question comes on the line of Sam Damiani of TD Securities. Your line is open, Sam.
Sam Damiani: Thank you. I apologize about that earlier. I was just going to ask about both the Canada Square project, just I guess any new thoughts as to the composition of phase one, which was to include some office space. Is there reconsideration there just given the overall kind of changing in the market and everything?
Kevin Salsberg: Welcome back, Sam. I guess what I would say, it depends on how you're describing phase one. For us, phase one is the determination and future plans as it relates to the existing buildings. So, that is and will remain likely office as it relates to the first new construction, which is a little further away today. At one point, that was contemplated to be entirely office, and then that reverted to a scheme where there was less office. And I think it's moving to a scheme where there will be no office. So, that's how we're thinking about it from a master planning perspective.
Sam Damiani: I see. Okay, that's helpful. And just to wrap …
Kevin Salsberg: And sorry, we have no - Sam, I just want to say, we have no further indication of when the LRT is going to open. Sorry about that.
Sam Damiani: Yes, that would be nice. Okay, thank you. And just last one, just on the topic of tariffs. I wonder if Jodi, you could just tell us if you're hearing any change in the leasing markets as a result of the threat of tariffs? Are tenants starting to pull back on decision-making specifically related to the threat of tariffs?
Jodi Shpigel: Yes, I think it's a bit early days for that. So, we're not seeing anything yet on that front, and not sure if we will actually. Tenant seemed to be wanting to expand, and at the ICSE conference, there was a lot of people wanting to expand their network, do new deals, a lot of positive momentum, I would say. However, of course an announcement today, tomorrow, next week, whenever, could change things or change the sentiment. But right now, I'd say it's the same as it was prior to the potential for tariffs coming.
Sam Damiani: That's helpful. Thank you very much, and I'll turn it back.
Operator: Thank you. Next question comes from the line of Brad Sturges of Raymond James. Please go ahead, Brad.
Brad Sturges: Hey, good morning. Just to go back to Canada Square for a second, and on the first phase, I think my understanding of it was, you would kick off once you got the right level of pre-leasing done on the office side. I'm just curious at this stage, kind of what activity levels you are seeing for the space you're looking to lease before you would commence that first phase?
Kevin Salsberg: I would say we are in active discussions and working on paper for the amount of pre-leasing we would require in order to move forward with the first phase.
Brad Sturges: At this point, it's probably a little bit too early to say, but are you still thinking about it as a project for 2025 or 2026?
Kevin Salsberg: I think the reality is we will be spending pre-development funds through the course of 2025 and any actual construction will occur in 2026.
Brad Sturges: Okay. Thank you. I'll turn it back.
Operator: Thank you. Our next question comes from Lorne Kalmar of Desjardins Capital Markets. Please go ahead, Lorne.
Lorne Kalmar: Thanks. Just one quick follow up. Obviously, you guys talked about tenants looking to expand still, and then we talked about the leasing environment. And I know we've heard from some of your open-air peers that they're getting more favorable terms as it relates to rent escalators. I was just wondering, do you expect to see any of that positive momentum, I suppose, on the CT leases, namely in the form of rent escalators above the 1.5%, or is that pretty much set in stone?
Kevin Salsberg: No, we've talked about this before, Lorne, in that for some time obviously, especially as inflation was elevated, the appropriate level of escalations in those annual rent bumps. And we've had lots of conversations with CTC, lots of negotiations. We have had success in negotiating higher rent escalations and certain lease renewals specifically in more urban markets. So, I think we will continue to push the envelope on that as we can and as appropriate. To remind you, we're still in the early days of lease renewals, if you think of our lease maturity chart and the sort of bell-shaped curve, we're at the forefront of it still currently. So, even with the occasions where we are able to negotiate improved terms on average, I think for some time the average rent bumps in those leases will continue to be 1.5%. It'll take some time to flow through the entirety of the portfolio if we are able to continue to successfully negotiate higher escalations. But yes, we are working through that and there are occasions where we are able to negotiate higher rents when that happens.
Lorne Kalmar: Okay. Thank you for the reminder, Kevin. Appreciate it.
Operator: Thank you. Our next question comes from Michael Markidis of BMO Capital Markets. Please go ahead, Mike.
Michael Markidis: Thanks, operator. Just to follow up for me, Lesley, I think if I heard you correctly, you said just on if you were to do a financing, you're leaning more into five-year. Can you help us understand that logic? I mean, it's cheaper, yes. Is it on the view that the curve continues to steepen and five-year rates are going down, or is it based on a 50 basis point-ish advantage savings? And if so, how would that sort of compare to where term premiums would be historically?
Lesley Gibson: I think you pointed, it's more to do, I think with the steepness of the curve and the relative price between five, seven and 10, right now where things are. I mean, we obviously have different places when we're looking to sort of ladder out the maturities. And so, that also works for us from that perspective. So, the five-year works out in things like that price right now.
Michael Markidis: Does the decline in your weighted average term to maturity factor into that discussion? I guess it's kind of come in over the past several years.
Lesley Gibson: Yes, I would say not overly. I mean, it is coming in obviously as we do start to do five-year renewals through the Canadian Tire lease, the weighted average term will naturally start to - will continue to decline. I mean, yes, that matches I guess a shorter term, but I'd still say we do have a mix of playing in sort of the medium or longer term as well. So, even if this one, if we do a five-year then another one down the road could be easily be a seven-year too.
Michael Markidis: Okay. Got it. Thanks.
Operator: Thank you. As there are no further questions at this time, I will turn the call over to Kevin Salsberg, President and CEO, for closing remarks.
A -Kevin Salsberg: Thank you, Latif. And thank you all for joining us today. We look forward to speaking with you again in May after we release our Q1 results. Have a good day.
Operator: This concludes today's call. You may now disconnect. You may now disconnect.